Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2014 América Móvil Earnings Conference Call. This call -- my name is Gwen [ph] and I'll be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Ms. Daniela Lecuona, IR officer. Please proceed.
Daniela Lecuona Torras: Good morning, everyone. Thank you for joining us in the call this morning to discuss our first quarter results. We have today on the line, Mr. Daniel Hajj, CEO. We have Carlos García Moreno, CFO; Mr. Oscar Von Hauske, COO; and also Carlos Robles, CFO from Telmex. I'm now going to pass on the call to Daniel.
Daniel Hajj Aboumrad: Good morning. Thank you, Daniela. Good morning, everybody. Thank you for being in the call, and Carlos is going to make summary of the results.
Carlos José García Moreno Elizondo: Hello. Good morning, everyone. Our economic activity continued to improve marginally in much of the developing world during the first quarter of the year. It was in many developing countries, particularly those more dependent on commodity prices, decelerated somewhat. In Mexico, the economy appears to be making a comeback. Continuing with the improved trends that began to take form during the fourth quarter. We finished March with 343 million accesses, 4.5% more than in the year-on-year quarter. This figure comprises 272 million wireless subscribers and 71 million RGUs. Our fixed RGUs were up 8.2% on a year-on-year basis with PayTV being the most important driver of growth. And our wireless subscriber base increased 3.5%. PayTV accesses have for the first time exceeded the number of broadband accesses. In our wireless platform, our postpaid base flourished 9% from the year earlier quarter with the prepaid base growing 2.6%. Net additions came in at 2.3 million, including 1.4 million users from the acquisition of Page Plus. After net disconnections of 585,000 subscribers in Mexico, Chile, Argentinean block and Puerto Rico. Disconnections were almost entirely in the prepaid market, after a clean-up of 980,000 clients that were not meeting our traffic and consumption requirements. But we continued to make progress in the postpaid segment in the market practically across the board. We obtained 769,000 new postpaid clients in the quarter. On the wireline platform, RGU growth was led made by PayTV and broadband with accesses rising 13.6% [ph] and 9.8%, respectively, over the prior year. We added 1.2 million RGUs in the quarter, more than 2/3 of the quarter's net RGU additions were triple-play bundles, where triple play, again, continuing to be the main driver of growth in the wireline platform. At the end of the quarter, Mexico accounted for 27% for our wireless subscriber base, followed by Brazil with 25% and Colombia with 11%. On the wireline platform, our largest operation is Brazil with 33.6 million RGUs or nearly half, 48%, of the total fixed accesses. Mexico accounts for 32% of our total fixed accesses. So Mexico is 27% of wireless and 32% of wireline accesses. Our first quarter revenues were up 1.3% year-on-year to MXN 195 billion. The volatility of exchange rates ended up understating the strength of the underlying revenue dynamism of our various operations. At constant exchange rates, service revenues posted their second-best performance in the last 5 quarters, jumping to 6.4% from 5.4% in the prior quarter. Wireless voice and fixed data services were the segments whose growth accelerated in the quarter. The South American block continued very much alongside past growth trend with both Central America/Caribbean and U.S. losing some dynamism. In Mexico, service revenue growth was the highest in the last 6 quarters, having reverted a 0.6% revenue decline in the fourth quarter and posting instead a 2% service revenue increase. A year before, in the first quarter 2013, Mexico service revenues were falling 1.6% year-on-year. Service revenues continue to be driven by data and PayTV. Voice revenues have recovered on both platforms, both on mobile and fixed, and we are seeing a recovery of voice revenues. At MXN 65 billion, first quarter EBITDA was up 1.7% in peso terms. As with revenues, the currency volatility suggests a more subdued improvement than in the case of constant exchange rates. EBITDA jumped 6.7% year-on-year, up from 5.7% in the fourth quarter. By this measure EBITDA had, in the first quarter, it's best showing in the last 5 quarters. The above was the case even in spite of the company's push into postpaid, a segment that typically requires higher subsidies and even more so where smartphones are concerned. Our postpaid base increased 9% year-on-year versus 2.6% from prepaid. And the average cost per device has soared 7% -- 7.4% at constant exchange rates. Our operating profits of MXN 38 billion -- MXN 39 billion were partly offset by a comprehensive financing cost of MXN 8.3 billion that represented, for the most part, net interest payments on our debt. A year before, we registered a comprehensive financing income of MXN 1.4 billion that had been brought about by sizable foreign exchange gains in the amount of MXN 17.4 billion. So this means that the comparison year-on-year is very much affected by the size of the [ph] first quarter of last year we had very significant FX gains. Altogether, we obtained a net profit of MXN 13.9 billion in the quarter, equivalent to MXN 0.20 per share or $0.30 per ADR. In the quarter, our net debt fell slightly to MXN 440 billion from MXN 442 billion at the end of last year. Our cash flow allowed us to fund capital expenditures of MXN 19 billion and reduce our net debt by MXN 2.2 billion. Our share buybacks totaled MXN 12.6 billion and our acquisition of ownership interests MXN 1.4 billion. In addition to all of these, our cash flow allowed us to fund in the amount of MXN 4.1 billion our pension liabilities. So with that, we'd like to open up now the floor for Q&A. Thank you very much.
Operator: [Operator Instructions] Our first question comes from the line of Vera Rossi with Goldman Sachs.
Vera Rossi: My question is about Brazil. Do you see a reaction from your competitors to improve client retention in fixed line? Or they are too behind in network infrastructure, so they are not able to offer the same products that Net Servicos and Embratel are offering?
Carlos José García Moreno Elizondo: As you know, the triple play has been really successful in Brazil. So we don't see we any change within the quarter. As you know, we are not only offering now triple-play products. We move to, what the call, Combo Multi. That is a quadruple-play offering. We believe that will be really successful on the marketplace as well.
Daniel Hajj Aboumrad: And to add something is we have been investing a lot in Brazil in the last years, and I think our network, the cable network and also the wireless network has been in better shape than in the other ones. And that is what we have been -- why we have been gaining momentum in Brazil. Also, the integrations of the company has been very successful, has been very successful there and that's also how we are doing that quadruple play. So we are offering to all our fixed customers a wireless product, and it had been very successful.
Vera Rossi: And one question about Colombia. What is you need to happen in Colombia to see -- for us to see an acceleration in wireless service revenue?
Daniel Hajj Aboumrad: There are 2 things that are happening in Colombia. First, remember that we have a reduction on the interconnection rate or in that reduction it's hit us in the revenues. The second thing that we have been seeing this quarter is that there's new quality measures that the regulator have been put. So these, every time there's a block call, you have to give a -- compensate to the customer. And that has been keeping to all. No, it's not only for Claro. It's for all the market. So that is what we have been seeing this first quarter. But I think Colombia had been improving, and I'm sure that at the end of the year, we're going to see some improvements. Data has been growing fast. The problem is that SMS has been reducing, so that's why you don't see big growth on data. But data as smartphones browsing has been successful and is growing very good also.
Operator: Our next question comes from the line of Richard Dineen with HSBC.
Richard Dineen: A couple if I may. Just one on Mexico, where you're improving your customer mix, you're getting significant postpaid adds and a prepaid net loss. Just wondering why the minutes of use decline actually increased sequentially. We might have expected that to improve with more postpaid in the mix. Is there a change in the commercial offerings or something else that's driving that? And then secondly, just on Europe if I may. Just wondering why you trimmed your position in KPN. Is that just kind of portfolio housekeeping? I guess, with weeks away from a regulatory decision in Germany that could see consolidation in that market, and that's delivered a lot of benefits in Austria. I'm just wondering why you would trim your position if that could potentially enhance the value of your KPN stake if we get a positive decision in Germany.
Daniel Hajj Aboumrad: Yes, the first question in Mexico, yes, the MOUs had been reducing a little bit. They had been reduced more in postpaid than in prepaid. But the postpaid is because we have been more aggressive in our plans, and we have been giving more minutes in our postpaid subscribers. And in prepaid, what is happening? Prepaid has been growing very good in the data. So what we are seeing is that people is using more data and less minutes in our prepaid base. So that's more or less what is happening, and also is that maybe last year, we have been having more promotions than what we have this year. So these 3 things are the ones that are making that our MOU has been reduced a little bit. It's more in postpaid. Postpaid has been -- we have been more aggressive in postpaid than in prepaid, more data using. They are using more data than voice. I can tell you that, more or less, our data is growing around 200% -- data revenues in prepaid are growing around 200% this quarter against last year. And [indiscernible] is that promotes. But we have a little bit less promotions than what we used to have last year. So those are the things. And in the KPN, Carlos, what...
Carlos José García Moreno Elizondo: Well, Richard, I think, what we have done with KPN is partly, in your words, a healthy management of the portfolio. I think the one thing that is important is, for us, it may have started just a little bit more of housekeeping and they're certainly a little bit the position. We have, in fact, might to have some liquidity that will be -- would serve us well in the upcoming transaction with Telekom Austria in terms of keeping those funds [ph] both the acquisition to extent that we have to buy shares under the tender offer, and we can talk about it later, and with also good capital fund, part of our take in the capital increase that the company will be expecting in a few months. So that's a little bit what I can say now. So it started out really very much just managing the portfolio. But now it's also provide us some liquidity at a convenient time. That can be put to good use in Telekom Austria.
Daniel Hajj Aboumrad: And also what -- to remember what we say in the last call is that we want to be flexible to reduce our ownership in KPN to have more than 20%, so we'll retain our to the 2 board members and some of the rights that we have. So that's what we're doing.
Operator: The next question comes from the line of Michel Morin with Morgan Stanley.
Michel Morin: A couple of questions. First, just wanted to touch on the U.S. You had very solid performance there margin wise, and yet, the headlines recently has been of intensifying competition. So I'm wondering if you could tell us a little bit how you view your position and given the shift in [ph] competitive landscape and whether or not you think you can kind of sustain the level of growth and profitability you've be generating there. And then secondly, your postpaid performance, you flagged it as growing faster than prepaid in your press release, but when we look at the absolute net additions during the quarter, they do seem to be a little weak for us, and specifically in Mexico, it seemed you have the lowest number of postpaid net adds in many years. So I'm wondering if you can comment a little bit as to what's driving that. Is it market saturation? Or are you seeing changes in the competitive landscape in some of those countries?
Daniel Hajj Aboumrad: Well, starting in Mexico, I think that we need to wait until -- to see how's the quarter, the first quarter for our competitors. But in my view, I think the -- we have a weak economy, and that's why we're growing less and also because there's some saturation in the market. So we're also moving some prepaid subscribers to the -- to be postpaid subscribers. But remember that we have, the last 6 months, a weak economy, and that's maybe why we're growing less. Let's wait until -- and see where are our competitors to see what of the market is growing. So that's what we need to see. In the U.S. market, I think we are well positioned. We have a excellent brand, not 1 brand, 3 or 4 very good brands. We are seeing a very competitive in terms of postpaid and in prepaid in the U.S. market is AT&T competing with T-Mobile than Verizon. But we feel comfortable that we can do our budget in U.S. with TracFone. We have good programs, and we have a very good brand, very good the distribution, and I think we can accomplish that. We just bought Page Plus. Page Plus is giving us also a -- with that, we have more subscribers, more economy of scale, better cost in terms of the carriers. So that's also why we are growing part -- we are a very good niche -- we have a good niche of the market in the prepaid market in U.S., Michel.
Michel Morin: That's great. And if I may, just one quick clarification. Carlos, the tax rate was very high. What was happening there?
Carlos José García Moreno Elizondo: Part of it is a consequence of transactions that are carried over from the prior year. So that explains partly about half of the difference between the effective tax rate that we're showing and the statutory tax rate. If you go back to the fourth quarter, you will see that the effective tax rate in the fourth quarter is actually much lower than the statutory rate. So the aggregate simply [ph] are partly carrying forward part of the advantages of the -- we're basically [ph] utilized in the fourth quarter and [indiscernible] back. There's another issue that it's, basically, you have to go with the taxing -- taxation of the profits coming from inflation, associated with having debt in Mexico. As you know, that is -- we are only allowed to deduct the real interest on the debt. And that essentially means that we are taxed the profit that results from having debt in an inflationary environment. And as it happens, we do have a little bit movement than last year, and we also -- we have a little bit more inflation than last year. So that [indiscernible] in the neighborhood of 6%. So those are the 2 important things [ph], Michel. Nothing much to say all on that.
Daniel Hajj Aboumrad: Sorry, adding something about the postpaid. Just I want to tell you that in Mexico and in Latin America, we have been gaining in number portability in postpaid. So that's a very good indicator that we see that we are gaining good subscribers in the market. So as I told you, let's wait for the competition to see how the market is behaving. But in number portability, I think we're being gainers there.
Michel Morin: And just to clarify on the tax, Carlos, if we look at the full year, should we be kind of around historical levels, near the statutory rate in the low 30s? There's no change in there?
Carlos José García Moreno Elizondo: Yes, that's what we would expect. As I said, the statutory rate was whatever the component associated with the inflation gains, and that was around 35% or thereabouts. Yes. And one thing, obviously, when you look at the postpaid growth rates, or prepaid for that matter, you have to take into account that you are comparing that from a higher base in the past. So you are -- we will expect to see some deceleration in the rate of growth to the extent that you are building up a higher base.
Operator: [Operator Instructions] Our next question comes from the line of Andrew Campbell with Crédit Suisse.
Andrew T. Campbell: My question is on some of the regulatory changes that have gone into effect specifically related to the preponderance rulings. If you could just touch on what were some of the more significant changes and if you have any idea for what the impact might be?
Daniel Hajj Aboumrad: Yes. Well, as you know, we have a new law in the constitution. That was last year. In that law, we have been said that América Móvil is a preponderant player, and then we have, in 6 of March, new regulation for preponderant players from the IFETEL. So that's what we have today. Then, what we having also is that there's new secondary laws that will create more symmetries in that, but there -- this law is still discussing in the Senate, and we think they are going to pass that soon, but we don't know exactly when and how does that new secondary laws are coming. So that's more or less what I can tell you, and we hope that all these new laws will develop more the market and develop the telecommunications sector, is what we expect on that.
Andrew T. Campbell: Okay. And just as a follow-up, so I believe that the change in roaming regulations have already gone into effect. If you could just confirm that and perhaps, give us an idea whether or not that was formerly a relevant contribution to revenues.
Daniel Hajj Aboumrad: Yes. It's starting 6 of April. It was the law from the IFETEL. And we have 2 things first that we cannot charge anymore: Roaming, national roaming. That's one thing. And the other one, we have a symmetry in the interconnection rates, so instead of MXN 0.30, they are going to pay us MXN 0.20. So that's more or less the 2 things that's starting in 6 of April, and we're going to see what's going to be the result in the second part around these 2 new regulations that we have, symmetry regulations that América Móvil has.
Operator: Our next question comes from the line of Rodrigo Villanueva with Merrill Lynch.
Rodrigo Villanueva: The operating performance in Brazil was quite strong during the quarter, particularly in terms of margins. So I was wondering if you could give us more color on this and if you think that an EBITDA margin at around 26% in this country's sustainable. That would be my first question.
Carlos José García Moreno Elizondo: Well, what we have been saying in the -- in all the calls is that we have been integrating Brazil and all the synergies has been -- we have been having a lot of synergies, a lot of integration in 2 different aspects. In the commercial, and Oscar told a little bit about what we have been seeing, is that we can do quadruple play at this moment in Brazil. So it's very good and we have been very successful on that. And the other one is in cost and expenses in CapEx also. So those 2 things had been good, then the market is also a little bit more rationale, still you need to do a lot of investments in Brazil to accomplish all the growth that we have been -- being the growth in data is in very, very high in Brazil and with all these new -- we launched 4G also in some markets in Brazil. So América Móvil has been investing in the market and we have been seeing that. I think we can sustain the 26% EBITDA for this year. I hope we can do that depending a lot on the market. But all the work that we have been doing in integration and synergies looks like that we can sustain the 26% market share. I don't know exactly if the market is going to be much more aggressive than what is today or the market is going to be like this today. So -- but in cost expenses integration, I think we can do the 26% EBITDA for the next quarters. I don't know, Oscar, if you want to add something?
Oscar Von Hauske Solís: I totally agree and we are working as well on the network integration. It's taking time to review the [indiscernible] unified platform. So we are working calls and I think that would take months on these calls and CapEx savings. So I agree and I think we could achieve that 26% EBITDA margin.
Daniel Hajj Aboumrad: And in Brazil, it's taking us a little bit more time than we want. But we would prefer to do that than to be cautious on moving on that direction and be successful on the commercial side. So NET is doing excellent in the commercial, excellent name, a lot of new subscribers, very good programming, I think, we have one of the best TV, or the best TV.
Oscar Von Hauske Solís: Best satellite TV.
Daniel Hajj Aboumrad: As well as a satellite TV growing a lot. So I think that's the way to do things in Brazil and we're happy how Brazil is developing at this moment. A lot to do but still we're happy at this stage.
Rodrigo Villanueva: Okay, great, Daniel. And regarding the secondary laws being proposed in Congress, I assume you have participated in some of that hearings that have been taking place, is there anything that you could share with us on this respect? Do you think it's possible to see changes in the article related to the elimination of interconnection revenues for AMX? Or the changing concession title for Telmex to be able to offer pay television services, anything on this respect would be very much appreciated.
Daniel Hajj Aboumrad: I think to some weeks ago, to 3 weeks ago, we have all, the operators, have the chance to go to the Senate, not to the Congress, to the Senate, to expose what we think and what we feel about the law. And we do that at Telmex, we do that also at Telcel and all the other operators also have a chance to do that. And that's more or less what I can tell you. We don't know exactly where are the laws, we, in our exposition, we think also that the interconnection, 0 interconnection rate, doesn't make any sense. And that we should go faster to the convergence but that's what we said in the Senate, it's what we have been saying publicly. And well, let's wait. We feel that the law also brings good things for Mexico and let's wait. What we need is to wait to see what is going to happen and what's going to be the final secondary laws for the telecom market.
Rodrigo Villanueva: Understood, Daniel. One final question, if I may. CapEx for the first quarter was around 6% lower year-on-year. I was wondering if your CapEx for that, for the full year, continues to be at around $10 billion, plus, minus 5%? Or if you have any changes in that respect?
Daniel Hajj Aboumrad: Well, we haven't changed our budget and CapEx. But CapEx can be changed by a lot of factors. Let's say, what's the growth that we have been having so that depends also on the CapEx. The prices that we have been negotiating maybe will put the same CapEx with less cost. And those are more or less the changes that we could have in the CapEx. But still, we haven't made any change on what we are going to invest at this moment. So there's still a lot of things to -- waiting for and -- but we haven't make any change on our CapEx budget.
Operator: [Operator Instructions] Our next question comes from the line of Valder Nogueira with Santander.
Valder Nogueira: Net Servicos has always done good and now it's doing great, congratulations on that. And the need of -- also needs to begin moving on the right direction on Claro. My question here is, what are you doing on Claro that this company is improving? Is it -- are you being more selective in what you give to the client? Are you being more selective on managing your customer base? Is it just giving out capacity, you are being able to get more capacity than everybody else? Or other networks are not -- are more clogged than yours and then -- and that's an opportunity to you, what's the read there?
Daniel Hajj Aboumrad: When you mean Claro, I'm assuming that you are saying Claro Brazil, no?
Valder Nogueira: Claro Brazil, yes. Yes.
Daniel Hajj Aboumrad: Claro Brazil. Because we have Claro almost all around that. What -- I think we are having a very good quality on the networks, all the networks that we're having. We're having a very good quantity in the peak network, in the TV, in the satellite TV. In the wireless, we have been having very good quality. We have good commercial plans. And we have been looking for good customers. So those are the 3 things that we are looking. And with all of that, we are making like upselling, cross selling and trying to give to all our good customers the rest of our products. So that's more or less what we're focusing. We don't want a lot of quantity of subscribers, we want quality of the subscribers. And that's more or less what we have done. What we have invested in the last year, it's what we are showing at this moment. So I think for the last 3 or 4 years, we have been the company having the one that more -- have been invested more in Brazil and it is showing at this moment the results of that. So that's what I can tell you.
Valder Nogueira: Okay, okay. Still on that, given that we are actually in the right direction here in Claro, Brazil, does it make sense right now to add more capacity coming from 4G auction. What is your view on the 4G auction? Is it time to go now? Is it time to sit down or study whether the cycle can undergo a consolidation before that? What are your views on that?
Daniel Hajj Aboumrad: Well, the 4G auction, we already have an auction on 4G. So we are putting the 4G markets, LTE and 4G markets already in Brazil. So when they talk about the 4G auction means another auction of the 700 megahertz and we still does not know exactly what is going to be and when does the auction is going to take place at what time is going to be this auction. But at this moment, in Brazil, in Claro, a lot of CPs already have LTE with a very good capacity, with very, very good quality, which are been connected maybe 60% or 70% of our cell sites with high fiber and we're doing -- we're giving a very, very good quality of wireless there. And also, we don't need another auction, we don't need that 700 megahertz at this moment, today, to give LTE services in Brazil.
Operator: Our next question comes from the line of Kevin Smithen with Macquarie.
Kevin R. Smithen: You mentioned that prepaid data growth was up 200% year-over-year, I wondered if you could sort of walk us through the economics of that. What are you paying now for prepaid smartphones? And what is the overall penetration of data among your prepaid subscriber base in Mexico, Brazil and Colombia? And finally, what kind of prepaid ARPU are you getting from data?
Daniel Hajj Aboumrad: The 200% increase in revenues in -- it was in Mexico. I don't have the numbers here of all the other markets. But what we're trying to do, we're trying to reduce as much as possible our subsidies to be more profitable doing that. And if we can do that and still sell to our prepaid subscribers and smartphone will be excellent, smartphones have been reducing the price a lot. We have a very, very affordable smartphones at this moment. So that's why we are growing and people is using that. So all the other detail and the numbers, I don't have it with me right here but you can call Daniela and she can give you more detail on that.
Kevin R. Smithen: Are you seeing sort of directionally for the customers that have signed up for data a large increase in total prepaid ARPU? Or is it basically just cannibalizing voice?
Daniel Hajj Aboumrad: No, no, no. We haven't been seeing that. I think the prepaid, it's more related to the economy, to the money that the people have. Some -- a part of this prepaid, maybe they are using less voice and more data, all the ones are using more on data and maintaining the voice. So it's more or less what you have been seeing. So in the ARPU, in the prepaid ARPU, you are not seeing big gains but to maintain that, I think, it's good.
Kevin R. Smithen: And also on -- can you walk us through the timing and the process for the Telekom Austria did and the capital increase there? How should we think about timing in regulatory approvals?
Daniel Hajj Aboumrad: Well, we are expecting the regulatory approvals to be in place anywhere next 4 weeks, 8 weeks, 12. I think the mandatory tender offer could be launched and its scaling [ph] still would be subject to having the approvals in place. That's what I can say. I think the prospectus or thoughts have already been filed. And we need to have it cleared by the relevant authorities in Austria but that's actually to the [indiscernible] and take care of that long. So I think the tender -- the tender should be launched in the next 2, 3 weeks, I would expect. It should be outstanding for some time certain against for the regulatory approvals and we need to see how we go about with the capital rates potentially will also be done entirely. So that's a -- those are the things that we are looking at in Telekom Austria.
Kevin R. Smithen: But there's no contingencies on the capital rates on the closing of the transaction first, of the tender?
Daniel Hajj Aboumrad: No, no. The tender is something that is triggered by law, given that there seems to be a change in control to the extent that we have now an indicator of partners that have comp earlier and they have 65%. So this basically leads to the triggering of an automatic tender offer. The automatic tender offer is, as we have announced already to be -- to another price of EUR 7.15 per share. And that is simply an automatic transaction that has to be triggered that will be no contingency. We don't know how many shares will be tendered in the end. But we have already provided the necessary guarantees to show the authorities that we can go on with the tender. So normal contingency there.
Operator: Our next question comes from the line of Walter Piecyk with BTIG.
Walter Piecyk: The first question, Daniel, is for you. The ARPU in Mexico was flat year-over-year, obviously, with sales being down, you're seeing this data growth. Last year was down all year, do you expect the ARPU in Mexico whilst ARPU to rise throughout the course of the year? That's the first question.
Daniel Hajj Aboumrad: So I think that ARPU in the year is going to be the same. In prepaid, ARPU is grow 1% and postpaid ARPU -- the marketing postpaid have been very aggressive, a lot of promotions, a lot of things. So that's why we have been having a reduction on the ARPU there. And we as we were saying, we want to be also to play in the postpaid market and which we have been doing all around Latin America. I don't think we can increase the ARPU in Mexico for the rest of the year. Let's see how does the economy react, but depending on that, it's going to be important what's going to be the ARPU.
Walter Piecyk: Okay. And then the second question is for Carlos. Carlos, when you look at the -- your debt leverage for the past decade, it's never gone over 2x. And with this Telekom Austria deal, it looks like you're going to get close to 2x. Obviously, you can push back in Brazil on the auction for spectrum, there might be other I think spectrum opportunities. I'm just curious if this effectively limits any additional M&A activities that the company will be involved with until you de-lever further, or if something very interesting pops up, anyone in the world whether it's Europe, Brazil or otherwise, whether the company would be willing to take leverage over 2x in order to take advantage of an opportunity that may not exist in 1 year or 2?
Carlos José García Moreno Elizondo: Well, I think it's important to, to have issue of leverage directing but there's some confusion of this based on the reports, the reports that I've read this morning. We have already discussed this issue with the rating agency. I think [indiscernible] and largely also [indiscernible] in the next few days, coming out with their own statement. They are basically saying that Telekom Austria have not any bearing on our ratings. As I was explaining before, we have plenty of liquidity as is right now. Partly having to do with our reshuffling of our investment portfolio. As I explained earlier, we have cleaned a little bit our KPN position, so we have some liquidity out of that. And the fact is, that we don't expect that we need to go to market to form the needed tender offer nor the capital rates, our take of the capital rate that will be required in everyone. So we are not looking at any change in the absolute level of leverage of the company. I think we are still in a very, very good shape. We'll continue to have the top ratings of any company without any fee indicator of the major telecom companies who value our rating and we intend to follow on through. And as I've mentioned, we've been made in close contact with the rating agency. And we have not been managing our investment portfolio exactly to ensure that we have the liquidity that is required, maintain the ratings and to be able to proceed [ph] with our M&A transactions with [indiscernible].
Walter Piecyk: But Carlos, my concern was not with the rating. I was not concerned and I guess I didn't see these analyst reports but I guess these people were concerned about, what's the Telekom Austria deal would do to your ratings. I was more interested in -- does that limit your ability to do other transactions? And if there's a very compelling transaction in Brazil or in Europe, can you now not do it because of the Telekom Austria deal?
Carlos José García Moreno Elizondo: What I was trying to explain beyond the usual re-ratings is that the leverage is really not being affected by the Telekom Austria deal. From that perspective, it is not anything that we have in current of any other kind of M&A transactions. We have explained before, it has the -- it indicates that we do have some flexibility if we need be, and not that you cannot go beyond the acceptance number of leverage one day and then that doesn't matter if we use our ratings reduction. So what we're saying is we have the flexibility, we have the credibility I think with the rating agencies and I don't believe that the Telekom Austria transaction, in any way, affects or hinders our ability to engage in M&A transactions as needed. We will be consolidating Telekom Austria. We will be considering certainly, as of the third quarter, if not before. And as a consequence, yes, we're taking a bit more debt, but we're also taking on writing some EBITDA so that the company Telekom -- América Móvil altogether will look as a [indiscernible] company.
Operator: Our next question comes from the line of Soomit Datta, New Street Research.
Soomit Datta: It's Soomit Datta at New Street. Just to go back, first of all, to the last question on leverage, within that the discussion, could you at all give some thoughts on the buyback potential for the remainder of the year? And then secondly, could you just help provide a little bit of clarity on Colombia, there's a bit of detail in the press release looking at, I think, revenue taxes equivalent to 2.2% on voice which have come in. Could you confirm have they -- are they in place today? So were they impacting Q1 numbers? And if not, when? And then, could you also confirm the asymmetric taxes effectively, do they impact everybody in the market or is it just your business there?
Daniel Hajj Aboumrad: I was talking about Colombia, what happened, we renovated the frequency, our frequencies in Colombia. And we renovate like 40 megahertz in the 850 and in 1950 bands. So that's what we'll renovate for another 15 years. And we used to pay -- 10 years sorry, not 15 years, 10 years. So we'll renovate that. And we used to pay 5% of their revenues, different formula but 5% of the revenues if you take out like equipment revenues on some of those revenues. And we used to pay 5% every quarter on that. Today, the way we renovate the frequency, we're going to pay 2.2 plus 0.7 but it's in a different way. So we feel that we're going to pay more or less the same that we have been paying for the last years. So that's more or less what we got on the renovation of the spectrum. So that's what we have in Colombia.
Carlos José García Moreno Elizondo: And on the buyback, I will add, no big changes here. I think from the -- in terms of how we go about it. As you know, we've always had our capital structure that we intend to hold on to in terms of debt-to-EBITDA. And then to the extent that our cash flow is not utilized for acquisitions and then the dividends that actually we distributed to the -- with shareholders. We'll have that we even net debt-to-EBITDA structure so that's basically how we go about it. And then the second would be -- is there going to be anything more on acquisition? Certainly. As our Telekom Austria is really not having any impact part on our ability to continue [indiscernible].
Operator: Our next question comes from the line of Andrés Medina-Mora with GBM.
Andrés Medina-Mora: You mentioned some opportunities from the new regulation and the secondary laws from the telecom in Mexico. I was wondering if you could walk us through a little bit of what your view is and what the opportunities are for América Móvil, probably in the media sector?
Daniel Hajj Aboumrad: All right. The first question is I think with the new telecom law, we are going to have more certainty in all the regulations. So this law is going to give us certainty for the next 10 to 15 years, and I think that's very good for the sector and that's very good for the develop of the telecommunications in Mexico. The -- what's the other question?
Andrés Medina-Mora: No, just if you were seeing more opportunities in the media sector as well for América Móvil given the new regulation in Mexico. And also, if you could walk us through, I believe there was some investigation with Telmex and Dish, if you could walk us through what that is and if there is any risk at all in that sense?
Daniel Hajj Aboumrad: Well, the Telmex dishes [ph] are billing and collection concept and that's what it is. So that's what we have been saying. And the opportunity, well, what we think and what we hope is that finally, we can get the permission to do TV, Telmex, to have the convergence. And like in almost any place of the world, we can have that convergence. And that would be the benefit for all the population in Mexico. That's the opportunity that we could see here.
Operator: And due to time constraints, our last question will be coming from the line of Michael Rogers with Conning and Company.
Michael Rogers: My questions has actually been asked and answered so I'm all set.
Operator: And now I'll turn it back over to the speaker for closing remarks.
Daniel Hajj Aboumrad: Thank you, everybody, for being in the call, and thank you. Bye-bye.
Operator: Ladies and gentlemen, thank you for your participation in today's call. This concludes the presentation. You may now disconnect. Have a wonderful day.